Operator: Good morning, and thank you for joining us today for Hovnanian Enterprises Fiscal 2023 Third Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in listen-only mode. Management will make some opening remarks about the third quarter results and then open the line for questions. The company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the Investor page of the company's website at www.khov.com. Those listeners who would like to follow along should now log on to the website. I would like to turn the call over to Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeff O'Keefe: Thank you, Liz, and thank you all for participating in this morning's call to review the results for our third quarter. All statements on this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such forward-looking statements include, but are not limited to, statements related to the company's goals and expectations with respect to the financial results for future financial periods. Although we believe that our plans, intentions and expectations reflected and are suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions or expectations will be achieved. By their nature, forward-looking statements speak only as of the date they are made, are not guarantees of future performance or results and are subject to risks, uncertainties and assumptions that are difficult to predict or quantify. Therefore, actual results could differ materially and adversely from those forward-looking statements as a result of a variety of factors. Such risks, uncertainties and other factors are described in detail in the sections entitled Risk Factors and Management's Discussion and Analysis, particularly the portion of MD&A entitled Safe Harbor Statement in our annual report on Form 10-K for the fiscal year ended October 31, 2022, and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable security laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances or any other reason. I'll now turn the call over to Ara Hovnanian, our Chairman, President and CEO. Go ahead, Ara.
Ara Hovnanian: Thanks, Jeff. I'm going to review our third quarter results and I'll comment on the current housing market. Given that Larry Sorsby, our CFO, will be retiring at year-end after 35 years at Hovnanian will give an opportunity for Brad O'Connor, our upcoming CFO, to present today. Brad has been with us for almost 20 years, 12 years as Chief Accounting Officer and also in the past few years as Treasurer and has participated in all our calls since that time. Also joining us on this call is David Mitrisin, our Vice President and Corporate Controller. As usual, we'll open it up to Q&A after. Our third quarter results were excellent. However, as we review our results, keep in mind that comparisons to last year are challenging for some metrics and very easy for others as we'll discuss. The doubling of mortgage rates during fiscal '22 caused the entire industry's home sales to fall substantially in the second half of the year. To spur sales activity, starting last summer, we and most of the industry offered increased incentives, which resulted in lower margins on new contracts at that time. As a result of those lower margins and the reduction in sales pace in the second half of '22, many of our third quarter profit metrics are challenging year-over-year comparisons. Fortunately, starting early this calendar year, demand for new homes bounced back, and we've seen strong sequential improvement in our profitability metrics and strong year-over-year performance in our net contract metrics. Based on the strong sales environment right through last weekend in August, we are increasing our full year '23 guidance, including a 20% increase in EPS. Additionally, while we're not ready to give a detailed guidance for the first quarter of '24, we are confident that our first quarter of '24, for which we are already building a very solid backlog, will show significant year-over-year improvements. On Slide 5, on the left side, you see our revenues of $650 million were less than last year. But -- and it's obviously for all the reasons I just discussed a moment ago. But you'll also see on the right-hand portion of the slide, they were within the guidance range we gave. On the left-hand side of Slide 6, we show that total SG&A was 11.6% and was higher than last year. However, as we show on the right-hand portion of the slide, our SG&A was also well within our guidance. The SG&A percentage was higher primarily due to lower delivery volume. On Slide 7, in the upper left-hand portion of the slide, we show that our adjusted gross margin for the third quarter of '23 was strong at 23.2%. While this is down compared to last year's third quarter, keep in mind that last year's gross margin was historically one of our highest gross margin quarters. If you look to the upper right-hand portion of the slide, you can see that gross margin increased 230 basis points from the second quarter to the third quarter. And finally, on the bottom, you can see that our third quarter gross margin exceeded the high end of our guidance. Turning to Slide 8. In the top left-hand corner of the slide, we show that adjusted EBITDA was $109 million compared to $147 million last year. Moving to the upper right-hand portion of the slide, again, while it was lower than last year, it improved 26% sequentially. On the bottom of the slide, you can also see that EBITDA was well above the guidance range of $85 million to $95 million. In the upper left-hand portion of Slide 9, you can see that our adjusted pre-tax income was $75 million in the quarter compared to $113 million last year. In the upper right-hand corner, like many other metrics, it has improved sequentially, up 62% from $46 million in the second quarter of '23. And at the bottom of the slide, you can see that our income before taxes was also well above the high end of our guidance range. On Slide 10, you can see that our net income for the third quarter of '23 was $56 million compared to net income of $83 million in last year's third quarter. Turning to Slide 11. On this slide, you can see that contracts per community for the third quarter increased 92% year-over-year. While last year was an easy comparison, at 14.2 contracts per community, we are clearly above the levels that we achieved in any third quarter for many years other than the COVID surge in contracts in 2020. On the left-hand portion of the slide, you can see that we averaged 11.4 contracts per community during the third quarter from '97 to '02 period, we often refer to as a more normalized neither peak nor bust period. So, the third quarter of '23 also exceeded the levels we achieved in more normal times. On Slide 12, we give more granularity and show the trend of monthly contracts per community compared to the same month in '22 and '21 for May through July. The slide shows contracts per community, including and excluding build-for-rent contracts. No matter how you look at it, our sales pace has improved significantly and even compares favorably to '21 for two of the three months shown on this slide. It is somewhat surprising given the strong sales during the COVID surge that we experienced in '21. More recently, the sales pace for the past two months has leveled off, but at a very solid level. While August is not over, our contracts to date as of last Sunday are up 56% over last year. We continue to see demand in our build-for-rent opportunities. While build for rent opportunities reduce our normal for-sale opportunities, the returns in this segment are very solid. Over the longer term, build for rent should be additive to our total deliveries and will likely be a long-term part of our strategy. Turning to Slide 13. You can see the month-by-month progression of our seasonally adjusted annualized contract pace per community. The chart shows that the contract pace bottomed out in the fall of '22 and has improved steadily to current levels. Once again, on this slide, you can see the impact of BFR contracts that predominantly fell in the month of June and the outperformance we achieved that month. But even without the BFR sales in the month of June, the seasonally adjusted and annualized pace was still very strong at $45.9 million. Demonstrating the strength of the housing market through July, our sales, even without the benefit of BFR, didn't have the typical summer fall off, and the sales pace in the months of May and June were as strong as any month in the spring selling season, which is unusual and speaks to the continued strength in the market in spite of the raise in interest rates. Turning to Slide 14, we show annual contracts per community. On the far left-hand side, you can see our more normalized pace of 44, for that period I discussed before of '97 through '02. In the middle of the slide, you can see our annual contracts per community for the past nine fiscal years. And on the right-hand portion of the slide, you can see our recent seasonally adjusted contracts per community by month for the past three months. I want to point out our annualized sales pace for the months of May through July exceeded the pace for the six years prior to the COVID surge. Turning to Slide 15. Here, we show our contracts per community as if our quarter ended on June 30, '23 and compared to our peers that report contracts per community on a June quarter-end basis. At 15.7 contracts per community, we have the second highest absorption rate among our peers during this period. On Slide 16, you can see that our year-over-year growth in contracts per community for the same period was also the second highest among our peers. These last two slides illustrate that we're not only competitive, but we're getting more than our fair share of contracts to be had in the strong new home market. Through this last weekend, weekly traffic in our communities and website visits are both continuing at very healthy levels, surprisingly close to '21 levels, indicating that future demand for new homes should remain strong. One of the reasons we've been able to maintain such a strong sales pace is due to our pivot to start more quick move-in homes, or QMIs, as we call them. The logic behind this pivot is that QMIs provide our customers with more certainty on what their mortgage payments will be at closing. We consider a home to be QMI the day we begin vertical construction. We're still evaluating whether this pivot will be more permanent on a long-term basis. We do definitely like the benefit right now of having a large number of QMIs along with build-to-order homes. In the interim, we've greatly reduced the complexity of choices for our customers and significantly increase the efficiencies for our trades and construction and purchasing teams. If you turn to Slide 17, you can see that after a significant shortage of QMIs during the COVID surge in demand, we've gone from 3.2 QMIs per community at the end of last year's third quarter to 6.7 QMIs at the end of the third quarter of '23. The pickup in our sales pace has made it challenging to increase the number of QMIs as quickly as we wanted. However, we're very close to our goal of about 7 QMIs per community. Some investors have definitely feared that homebuilders will overproduce QMIs, that's been a fear for the last year, we just do not see that in the field. Our focus continues to be to sell these QMIs before they are completed. We're particularly pleased to see that even though we increased the absolute number of QMIs by 139 from the second quarter to the third quarter, the number of finished QMIs declined from 127 to 100. The demand for QMIs is particularly strong when they are between 30 and 60 days of completion. Since the beginning of the year, we've seen our QMI sales increase to about 56% of our sales versus 40% historically. At this point, we plan to match our start schedule with our current sales pace at each community and keep the overall level of QMI steady on a per community basis. On Slide 18, we show that the number of existing homes for sale around the country currently remains depressed at 980,000 homes. That's less than half of the historical average, which is over 2 million homes. The lower level of existing homes for sale certainly helps our sales and validates our QMI strategy. Consumers have fewer existing homes to choose from, and as a result, more homebuyers are turning to new construction than in the past. Having QMIs available for sale is also important, because just like existing homes, homebuyers can close much sooner on a than on a to-be-built home and it allows customers more certainty on mortgage rates. This strategy has clearly helped fuel our growth in contracts and our growth in contracts per community. Moving to Slide 19. Due to the increasing strength of demand for our homes, we were able to raise net home prices in 30% of our communities during the first quarter. We raised home prices again in 69% of our communities during the second quarter, and we raised them again in 71% of our communities during the third quarter. Many of our communities raised prices multiple times this year. If demand remains strong, we expect to be able to continue to increase home prices moving forward. These net home price increases I'm referring to, by the way, include reductions in incentives and concessions. I want to emphasize that we have not assumed any further home price increases in our guidance. We're optimistic about our future growth prospects. Furthermore, we believe that favorable demographics, persistently low supply of existing homes and a positive employment trend will support demand over the long term. I'll now turn it over to Brad O'Connor, our Chief Accounting Officer and Treasurer.
Brad O'Connor: Thank you, Ara. I'm going to start with Slide 20. You can see that we ended the quarter with 122 communities open for sale. During the quarter, we contributed eight active wholly-owned communities to a new joint venture. Our joint ventures are performing well and continue to be an ongoing part of our strategy and core operations. Moving these eight communities to a new JV, along with a faster-than-anticipated sales pace, led us to only having 102 wholly-owned communities at the end of the third quarter. Our number of communities opened for sale would have been higher, however, utility company delays continued to slow down our ability to open new communities. The entire industry is experiencing delays in land development, particularly given the shortage of transformers. The only positive to these delays is that it keeps the supply of new developments in the market low. We expect our community count to grow in the fourth quarter of fiscal '23 and further in fiscal '24. Before I move on, I want to comment on the other expenses line from our income statement. During the third quarter, we assumed control of one of our unconsolidated joint ventures after our partner received their final cash distribution, but before the communities were finished. Under GAAP, we were required to consolidate the joint venture at fair value, and based on the extremely strong performance of these communities, we recorded a $19 million gain in the other income and expense line upon consolidation. After the consolidation, these same three communities were put into a new unconsolidated joint venture at the higher fair value agreed to by the third-party partner. Turning to Slide 21. During the rapid increase in mortgage rates last summer, we suspended most new land acquisitions for a few quarters. As a result, our lot count has declined slightly from the prior year. However, at the end of the third quarter, we saw a very modest sequential increase in total lots control. We ended the third quarter of fiscal '23 with 29,487 lots. You will notice that while our total lots controlled increased this quarter, lots owned continue to decrease as we continue to focus on lot options and high inventory turns. Given the strength of the new home market over the past seven months, our land teams are once again actively engaging with land sellers and negotiating for new land parcels that meet our underwriting standards. Our corporate land committee calendar continues to fill up, which is an indication that our lot count should bottom out here. By using current home prices, current construction cost and current sales pace to underwrite to a 20%-plus internal rate of return, our underwriting standards automatically self-adjust to changes in market conditions. On Slide 22, we show our percentage of lots controlled by option increased from 46% in the third quarter of fiscal 2015 to 73% in the third quarter of fiscal '23. This has been a focus of our land strategy, and we continue to make progress. A low percentage of owned lots strongly mitigates land risk. Turning now to Slide 23. Compared to our peers, you see that we have one of the higher percentages of land controlled via options and we are significantly above median. We continue to use land options wherever possible to achieve higher inventory turns enhance our returns on capital and to reduce risk. Turning now to Slide 24, we show year supply of owned lots for us and our peers. With 1.6 year supply of owned lots, we have the third lowest year supply, having a shorter supply of owned lots combined with a strong supply of option lots is an effective way to mitigate land risk. On Slide 25, including both owned and option lots, you can see that we have 5.9 year supply of controlled land slightly above median for our group. Turning now to Slide 26. Compared to our peers, we continue to have the third highest inventory turnover rate. High inventory turns are a key component of our overall strategy. We believe we have opportunities to continue to increase our use of land options and to further improve both inventory turns and our returns on inventory in future periods. One way to improve our inventory turns is by shortening our cycle times. We made good progress in doing this from April through July when our cycle times came down by 37 days. Turning to Slide 27. After $169 million of new land and land development spend in our third and retiring early $100 million of bonds in May we ended the quarter with $456 million of liquidity, more than $200 million above the high end of our targeted liquidity range. Turning now to Slide 28. On this slide, we show our debt maturity ladder at the end of the third quarter. During last year's fourth quarter, we amended our revolving credit facility to extend the maturity date to June 30, 2024. After that, we don't have any debt maturing until the first quarter of fiscal '26. Given our high liquidity position at the end of the third quarter, we announced in our press release this morning that we redeemed an additional $100 million of our 7.75% senior secured notes due 2026 in August. We have reduced total debt by $668 million since the beginning of fiscal '20. This latest debt reduction shows that we remain committed to strengthening our balance sheet. Given our remaining $325 million of deferred tax assets, we will not have to pay federal income taxes on approximately $1.2 billion of future pre-tax earnings. To put that into perspective, at the midpoint of our guidance for fiscal '23, we will have earned $566 million of adjusted pre-tax income in the last two years. So the DTA should offset payment of cash taxes for several more years if the market holds somewhat steady to the current conditions. This benefit will continue to significantly enhance our cash flow in years to come and will accelerate our progress of paying down debt and improving our balance sheet. Our financial guidance for the full year of fiscal '23 assumes no adverse changes in current market conditions, including no further deterioration in our supply chain or material increases in mortgage rates, inflation or cancellation rates. Our guidance assumes continued extending construction cycle times averaging five to six months compared to our pre-COVID cycle times for construction of approximately four months. Further, it excludes any impact to SG&A expenses from our phantom stock expense related solely to the stock price movement from our $106.62 stock price at the end of the third quarter of fiscal '23. On Slide 29, we show guidance for fiscal '23. We have improved our guidance again in virtually every metric. We expect total revenues for fiscal '23 to be between $2.6 billion and $2.7 billion. We also expect adjusted gross margins to be in the range of 22% to 23%. SG&A as a percent of total revenues is expected to be between 11% and 12%. We increased our guidance for adjusted EBITDA by $30 million to a range between $350 million and $370 million. We also increased our expectations for adjusted annual pre-tax income for fiscal '23 by $35 million to be between $215 million and $235 million. We expect our diluted earnings per share to be in the range of $21 to $24, book value per common share is expected to be between $66 and $68 at the end of the fourth quarter. Turning to Slide 30. Here, we show the progress we have made to date to reduce debt and our net debt to cap. Starting in the upper left-hand portion of the slide, we show the growth in equity over the past few years. And in the upper right-hand portion, you can see the progress we made in reducing our net debt. Including the redemption in August and assuming we have the same liquidity at the end of fiscal '23 that we did at the end of the third quarter, we will have reduced our net debt by $804 million since the beginning of fiscal '20. In the middle on the bottom, you can see that net debt to net cap at the end of fiscal '23 is expected to be 57.8%, which is a significant improvement from where we were at the beginning of fiscal '20. We still have more work to do to achieve our goal of a mid-30% level, but we have made significant progress and are well on our way to getting there. Given the return to a more normalized sales pace and the overall strength of the housing market today, we are encouraged that our year-over-year comparisons for the first quarter of fiscal '24 should show significant improvement. Our balance sheet has improved significantly over the last five years, and we expect to continue to make significant progress moving forward. Turning now to Slide 31. It shows the compounded annual growth rate of our book value per share from the end of '21 to the midpoint of our guidance for the fourth quarter of fiscal '23. Our expected growth rate is 224%. Slide 32 shows our book value growth rate compared to our peers. Helped by the fact that we started at a low number, our growth rate is much higher than our peers. We think it's important to consider how rapidly our book value is increasing when evaluating an appropriate price-to-book ratio compared to our peers. Turning to Slide 33. Not only has our book value per share has been growing at an extremely strong rate, but on this slide, we show that compared to our peers, we had the second highest return on equity at 38% over the last 12 months. Turning to Slide 34, we show compared to our peers that we have one of the highest consolidated EBIT returns on investment at 30.4%. While our ROE was helped by our leverage, our EBIT return on investment, a true measure of pure homebuilding performance without regard to leverage, was the highest among our midsized peers. Over the last several years, we have consistently had one of the highest EBIT ROI among our peers. Eventually, investors will recognize our consistent superior returns on capital, reduced leverage and significantly improved balance sheet. As a result, our stock price multiples should increase. On Slide 35, we show our price to book multiple compared to our peers. While we currently trade above median, we still trade below five of our peers that have lower book value growth rates Four of these peers also have lower returns on equity than us. Given our rapidly growing book value, we think it would be appropriate to consider a variety of metrics, including EBIT return on investment and our price earnings multiple when establishing a fair value for our stock. We believe when all our financial investments are considered, our stock is a compelling value. Turning to Slide 36. Here, you can see that when we compare our enterprise value to adjusted EBITDA, we have just about the lowest ratio despite our outperformance on a return basis. And on Slide 37, we show the trailing 12-month price-to-earnings ratio for us and our peer group. Based on our price earnings multiple of 4.55x at yesterday's closing stock price of $100.38, we're trading at a 38% discount to the homebuilding industry average P/E ratio. We recognize that our stock may trade at a discount to the group because of our higher leverage. However, given our 38% return on equity, our industry-leading growth in book value, our top quartile EBIT return on investment, combined with our rapidly improving balance sheet, we believe our stock continues to be the most undervalued of the entire universe of public homebuilders. We remain focused on further strengthening our balance sheet, including further reductions in our debt levels. I will now turn it back to Ara for some brief closing remarks.
Ara Hovnanian: Thanks, Brad. The market for new homes remains strong due to the positive demographics and employment trends, combined with the low supply of existing homes for sales. Given the rising mortgage rate environment, new homebuilders are in a unique position where we can buy down mortgage rates for our customers, something that existing home sellers cannot offer to buyers. Our recent pivot to having more QMIs available allows us to offer these below-market mortgage rates on more homes than we otherwise would have been able to do. And that gives us the confidence that our sales pace should remain fairly steady at these healthy levels. While the recent rise in mortgage rates have caused concerns for investors regarding sales going forward, our August contracts month-to-date are up 56% over August of last year. The sales pace has slowed somewhat in August compared to a blazing comparison for the third quarter, but the year-over-year comparison is very strong, and customers seem to be adjusting their expectations to the current interest rates. I'm optimistic that we'll be able to finish this year with a strong fourth quarter. While we're not prepared to give detailed guidance for the first quarter of '24, we do expect to follow up with the first quarter that should show significant year-over-year improvements to last year's first quarter. We look forward to reporting our progress in these future periods. Assuming sales remained similar to the last few months, it should set us up nicely for a solid performance for the full year of '24. That concludes our formal comments, and we'll be happy to open it up for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Alan Ratner with Zelman & Associates.
Alan Ratner: [indiscernible] so far, and nice job in the quarter. Ara, you kind of touched on it towards the end there, but I feel like -- I guess there is so much attention on kind of the real-time activity. I was hoping just to first ask about kind of what you are seeing in August up to this point. And 56% growth, very impressive. If I'm doing the math, it probably implies an absorption pace somewhere in the low 3s, which is obviously very, very healthy. A bit lower than you've done in the last few years in August, and I'm looking at your monthly cadence chart on Slide 40, which is very helpful. I'm curious, is there anything we need to consider as far as BFR sales that could be either a headwind or tailwind to the results in August and thinking about the quarter as a whole. And I guess, just more broadly on that, given the high percentage of communities you're raising prices in, if you were to see that sales pace dip, say, below 3 in September and October, would you maybe take your foot off the gas a little bit on incrementally raising price?
Ara Hovnanian: I'll start with the first one. The answer is yes, definitely. If we saw sales slowdown as a result of our home price increases, yes, we'll definitely take our foot off the pedal and not slow as much. And of course, we've demonstrated in the past, we'll happily increase incentives, if necessary, to keep individual communities on pace. Regarding BFR, there's nothing extraordinary. I'd say, in general, there's still a lot of interest and demand and discussions going on for us to do more BFRs. And we're very pleased with the results. The returns are solid, and we think it's going to be a core part of our earnings. Just like, by the way, Alan, I'll mention this to you specifically, joint ventures have been for 20 years, a core part of our operations. And the profits are an important part of how we achieve some very good returns.
Alan Ratner: Understood. I appreciate that on the JV side. The gross margin, just looking at your guidance for the full year, it implies a pretty wide range of potential outcomes in the fourth quarter, 100 basis point spread on the full year, could get me if I'm plugging the numbers in here, fourth quarter either being down sequentially as much as 100 basis points or up potentially a couple of hundred basis points. So, I'm not looking for an exact number here, but can you talk just generally about the trend on margin in your backlog? Is it stable? Is it moving higher? And what is the price versus cost spread looking like today?
Ara Hovnanian: I'd say, in general, it's feeling pretty good. We didn't talk a lot about costs, but we've made some great progress on a national purchasing blitz. And I'd say prices overall, putting lumber aside, have been trending slightly lower and certainly holding steadily right now. And that has been helpful.
Brad O'Connor: The other comment I would make to your question about margins for the fourth quarter is as we transition to more QMIs and we saw a lot of QMIs in the same quarter that we have the deliveries, there's a little less visibility to what we've had in the past to our margins. But I would echo what Ara said that I would say the trends have continued to be similar to what we saw in the third quarter.
Ara Hovnanian: The other thing I've mentioned and we recognize that it's a big spread, but as you saw, there was a big spread in our actuals for the third quarter, we definitely outperformed what we thought. And part of that is it's very hard to project every single community in this environment. You never know which -- what the mix is going to be. Do our higher-margin communities run into a transformer problem, which happens all over the place, and you substitute it in another part of the country with maybe a lower margin or maybe a higher margin, it's just very difficult to be super precise in this environment plus the QMI, as Brad mentioned. But in general, I'd say we feel very good about gross margins right at this moment.
Alan Ratner: Perfect. If I could just squeeze in one follow-up, Ara, just going back to the first question. You mentioned you wouldn't hesitate to adjust incentive levels if you felt like the sales pace had retreated below a certain level. Is there an absorption pace we should think about? Obviously, there's seasonality in it, but is there a level where if sales were to drop below a certain point, for example, where you would get potentially more aggressive on discounting?
Ara Hovnanian: I mean, generally, a monthly sales pace with a three handle is what we shoot for. An annualized pace of 36 to 40 homes would be a typical number. But we also, as we've discussed, are very focused on inventory turnover. So, we also look at what is the pace of the underlying lot takedown pace. And we feel it's very important to get our sales pace to equal the lot takedown pace. In some cases, the lot takedown pace is only two a month. In other cases, it's three a month, four a month or five a month. So, we really look by community, and ideally we're not there yet. We -- the day we take down a lot, we'd start construction, either because it was already sold and in backlog or we're beginning a new QMI based on the pace.
Unidentified Company Representative: Yes. And just -- I'll make one comment, and that is I don't believe some analysts in the market, in general, really recognizes our land-light strategy. And it's not we hope to get to land light, just as Ara described, trying to match up our takedowns to our sales absorption pace as well as our high inventory turnover, high return on invested capital, we are land light similar to not as good as NVR, but certainly similar to Dream Finders, which some are really touting as a land-light company. They get much higher multiples than we do. And I just don't think the market and analysts understand we're also land light.
Alan Ratner: Appreciate it, guys. Thanks a lot.
Operator: [Operator Instructions] Our next question comes from [Luis Aliva] (ph) with Housing Research Center. Luis, your line is open.
Unidentified Analyst: Hi. I'm glad to see you paid down the $100 million of debt this quarter. Do you have any plans to continue to pay down debt over the next few quarters? And is there anything that limits how much you can pay down for quarter?
Ara Hovnanian: I'm sorry, can you speak just a little more slowly, it's hard to understand.
Unidentified Analyst: Yes. I was just saying glad to see you paid down the $100 million of debt per quarter. Is there anything that limits how much you can pay down for quarter? And do you plan to pay any more over the next few quarters?
Ara Hovnanian: We don't have any specific limits on what we can pay down per quarter. So, as I think we've demonstrated, we're very serious about improving our balance sheet and reducing our debt. We've been doing this fairly regularly. We expect if things hold steady, we can continue to do that in the future, but we're not giving any specific guidance. I mean we just paid down $100 million last quarter and $100 million we just paid off last week. So, we're making great progress.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. That concludes today's question-and-answer session. I'd like to turn the call back to Ara Hovnanian for closing remarks.
Ara Hovnanian: Thank you very much. I know it's an interesting time with rates moving as they are in all of the different world events, particularly with what's been going on with the Fed and concerns about rates. As I mentioned, customers seem to be adjusting. Our offerings are being well received. Our sales are very good. Margins are good. We feel very optimistic about the outlook going forward. And we'll look forward to giving you more good news in future quarters. Thanks so much.
Operator: This concludes our conference call for today. Thank you all for participating, and have a nice day. All parties may now disconnect.